Operator: Good morning. My name is Joanna, and I will be your conference operator today. At this time, I would like to welcome everyone to the Spectrum Brands' Fiscal 2016 First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' prepared remarks, there will be a question-and-answer period. As a reminder, ladies and gentlemen, this conference is being recorded today, February 2, 2016. Thank you. I would now like to introduce Mr. David Prichard, Vice President of Investor Relations. Mr. Prichard, you may begin your conference.
David A. Prichard - Vice President, Investor Relations & Corporate Communications, Spectrum Brands Holdings, Inc.: Good morning, operator. Thank you very much and good morning to everyone. Welcome to Spectrum Brands Holdings' fiscal 2016 first quarter earnings conference call and webcast. I'm Dave Prichard, Vice President of Investor Relations for Spectrum Brands, and I'll be your moderator for our call this morning. Now, to help you follow our comments, we have placed a slide presentation on both the Presentations page and the Event Calendar page in the Investor Relations section of our website at www.spectrumbrands.com. This document will remain there following our call. So starting with slide two of the presentation, our call will be led today by Andreas Rouvé, our Chief Executive Officer and Doug Martin, our Chief Financial Officer. Andreas and Doug will deliver opening remarks and then conduct the Q&A session. If we turn now to slides three and four, our comments today include forward-looking statements including our outlook for fiscal 2016 and beyond. Now, these statements are based upon management's current expectations, projections and assumptions, and are by nature uncertain. Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors and the cautionary statements outlined in our press release dated February 2, 2016, and our most recent SEC filings and Spectrum Brands Holdings' most recent 10-K. We assume no obligation to update any forward-looking statement. Also, please note we will discuss certain non-GAAP financial measures in this call. Reconciliations on a GAAP basis for these measures are included in today's press release and 8-K filing which are both available on our website in the Investor Relations section. So I am now very pleased to turn the call over to our Chief Executive Officer, Andreas Rouvé.
Andreas Rouvé - Chief Executive Officer: Thanks, Dave, and thank you all for joining us. Turning to slide six. We delivered a strong first quarter, and this gives us an excellent start to another year of record performance in fiscal 2016. Despite major currency headwinds, we were able to grow adjusted EBITDA as reported by $31 million or 18%. If we exclude the negative currency impact of $33 million, but also the benefit of our recent acquisitions, which was $29 million in the quarter, our organic EBITDA growth rate was a very strong 20%. This growth was driven by our broad-based organic sales growth of 6.3%. Highlights include the record results in Hardware & Home Improvement, as well as in Home and Garden. Also our global battery and legacy pet business had very strong sales in all regions and we are especially pleased with the strong recovery we could achieve in both categories in our core U.S. market. In our Appliances business, the picture was more mixed. While we could continue to grow globally with Remington in the personal care category, we had a sales decline in our home appliance business in North America. This is partly linked to the softer market demand in general, but also some aggressive promotions of our competitors. Let me state openly that we are pursuing the clear target to grow EBITDA, and accordingly, we will not participate in unhealthy promotions only to gain market share. If we look at our performance from a regional standpoint, we are very pleased that we had a strong quarter in North America, as well as in Europe and even in Latin America, despite the significant currency challenges. Sales were only down in Asia-Pacific due to our decision to exit the unprofitable closet door business in China. Also the acquisitions, which we completed in fiscal 2015, performed well and ahead of our expectations. As a good indicator, it is worth noting that we went live on SAP with our most recent acquisition of Global Auto Care, only seven months after closing. Turning to slide seven. Those who follow our company closely know that Spectrum Brands' EBITDA phasing across the year has been seasonal, and Global Auto Care acquisition further adds to that seasonality. Yes, it is true that our oldest category Global Batteries & Appliances had in October to December the strongest EBITDA of the entire year due to the importance of Black Friday and the holidays. However, in all other categories, the summer quarters are much stronger, and accordingly, our first fiscal quarter is in the meantime the quarter with our lowest EBITDA within the year. If we consider that the first quarter is by far the smallest period for the two categories where we have our highest EBITDA margins, Home and Garden and Global Auto Care, we are very pleased with the strengths of the first quarter. Now to slide eight. As we have said before, and as we can all see from the headlines, the global market is very challenging and competition is intense, but we remain optimistic about healthy sales and adjusted EBITDA growth and steady margin expansion in fiscal 2016, along with more than 10% increase in free cash flow and continued deleveraging. Our Spectrum First growth initiative is gaining traction. We are increasing our efforts on new product introductions to attract more consumers. But we are equally committed to providing consumers superior value products to increase brand loyalty, and we will drive further organic sales growth through our increased cross-selling and expansion into more channels and more countries. At the same time, we are working on continuous product and process enhancement and are leveraging our expenses through a closer cross-divisional and global cooperation. Despite the focus on cost improvements, we are selectively increasing our spending on R&D, marketing and other growth initiative, to ensure sustainable organic growth. As such, we continue to expect fiscal 2016 reported net sales to increase in the high single-digit range, including acquisitions and partly offset by the negative impact from currency and to deliver free cash flow in the range of $505 million to $515 million. With this, I would like to turn it over to Doug, for financial review and comments on the divisional performance.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Thanks, Andreas, and good morning, everyone. Turning to slide 10, let's review Q1 results beginning with net sales. First quarter reported net sales of $1.22 billion increased 14.1% versus last year. Excluding the negative impact of $61.4 million of foreign currency and acquisition related net sales of $144.9 million, organic net sales increased by 6.3%. A record growth in HHI and Home and Garden, strong battery and legacy pet business results and strong regional performance in the U.S., Europe and Latin America on an FX neutral basis, more than offset lower results in the North American small appliances business. The quarter also benefited modestly from customer pre-buy activity ahead of the SAP go live for Global Auto Care and the timing of our fiscal quarter end. Reported gross margin of 36.2% increased from 34.7% last year, primarily due to the impact of acquisitions, improved mix and strong productivity, partially offset by negative FX. Reported SG&A expense of $273.4 million or 22.4% of sales, increased by 100 basis points versus 21.4% last year due to the impact of acquisitions and higher stock-based compensation expense. Reported operating margin of 11.7% improved by 90 basis points compared to 10.8% last year. On a reported basis, higher Q1 EPS of $1.24 compared to $0.94 last year, due to the impact of acquisitions, improved margins and a lower tax rate, partially offset by higher common shares outstanding. Adjusted EPS of $1.01 versus $1.07 last year decreased 5.6%, primarily as a result of the higher interest expense and shares outstanding compared with the seasonality of the Global Auto Care business acquired in May. Turning to slide 11. First quarter interest expense of $58 million increased $14 million from last year driven by acquisition financing, while cash interest payments of $62 million were $6 million above prior year. The Q1 reported tax rate of 9% decreased from 29.1% a year ago, primarily due to the higher Q1 U.S. pre-tax income, which is currently subject to a very low tax rate because of our U.S. net operating loss valuation allowance and lower rates outside of the U.S. Cash taxes for the quarter of $10 million were $1 million below last year. Q1 depreciation and amortization was $57 million versus $45 million last year; and cash payments for acquisition and integration and restructuring and related charges were $12 million and $6 million respectively in the quarter. Now, turning to operating unit results, beginning with Global Auto Care on slide 12. In its smaller seasonal quarter, Global Auto Care reported net sales of $73.7 million and adjusted EBITDA of $19.2 million and adjusted EBITDA margin of 26.1%. U.S. appearance, performance and refrigerant category consumption was strong in Q1, helped by unseasonably warm weather. Armor All experienced especially solid POS of major U.S. customers, notably its gift packs. Looking ahead, key new product launches include Armor All OUTLAST Brake Dust Repellant, STP Synthetic Oil Treatment and A/C PRO AccuCool (11:42) Recharge kits. The Global Auto Care integration continues smoothly, on a fast timetable and with the realization of expected synergies. Global Auto Care in the U.S., Canada, Australia, and Mexico went live on our SAP platform in early January, with the SAP cutover in Europe set for April. Turning to slide 13, Hardware & Home Improvement. HHI reported record Q1 results driven by solid growth in its core U.S. residential security and plumbing businesses. Reported net sales increased 4.2% and 6% excluding negative FX of $4.7 million. Our continued planned exits from unprofitable businesses and the expiration of a customer tolling arrangement negatively impacted sales by 3.3% in Q1, similar to Q3 and Q4 last year when the process began. Adjusted EBITDA grew 3.5% and 6.2% excluding negative FX, with the margin essentially unchanged from last year at 19%. This was HHI's 12th consecutive quarter of year-over-year sales and adjusted EBITDA increases since its December 2012 acquisition. HHI is on track for another record year in fiscal 2016. Growth drivers include accelerating our leadership positions in home automation and electronics, extending the multi-family/commercial market expansion initiative, steady growth in U.S. housing markets, new U.S. line review wins and international growth in Canada and Latin America. Innovation will be a critical growth component. The 2016 new product roadmap is HHI's best ever, with launches in every quarter in locks, plumbing and builders' hardware. At the Consumer Electronics Show in early January, HHI unveiled three major electronics products for introduction later this year. Kevo 2, our next generation Kevo Bluetooth compatible lock, Kevo Convert, which allows easy conversion in multi-family and apartment environments, and Kwikset Premis, a new lock that works with Apple HomeKit. HHI also just became the first residential lock manufacturer to offer antimicrobial protection on select products, inhibiting the growth of bacteria on frequently touched door surfaces in the home. Our Baldwin hardware brand turns 70 Years Bold in January, kicking off a year-long celebration of the brand's rich history and milestone 70th anniversary. And on the operations side, cost improvements and metals deflation are offsetting pricing pressure in FX. Now to Global Pet, which is slide 14. Reported net sales grew 68.7%, driven by Salix and IAMS Eukanuba acquisition revenues of $71.2 million, along with strong legacy performance. Excluding negative FX of $3.9 million, and adjusting for acquisition revenues, Q1 legacy pet sales improved a strong 12.9%, primarily from North American aquatics category growth, stronger rawhide and stain and odor product category results, and the timing of holiday shipments. Adjusted EBITDA of $29.2 million more than doubled from last year due to acquisitions and improved North America pet legacy results. Reported margin increased 360 basis points to 14.4%. We are seeing the first signs of a resumption of sales and EBITDA growth in fiscal 2016 in our North America legacy business, due to operational improvements and restructuring initiatives begun in Q3 of last year which are taking hold, compared to the declines in the first half a year ago. Our legacy pet business also saw broad-based growth on a constant currency basis in Europe and Latin America in Q1. Moving to slide 15. Home and Garden reported record Q1 results in its smallest quarter while providing a strong start to the year. Reported net sales grew 20.8%, principally from strong increases in the lawn and garden controls category, driven by warm weather which extended the outdoor season. Household controls and repellent category revenues also improved. Adjusted EBITDA of $7.1 million increased 18.3%, and the margin decline of 30 basis points to 14.9% was due to higher planned investments and initiatives to support growth. Home and Garden is gearing up (16:08) for another strong year and fiscal 2016 will be a mix of innovations, such as Spectracide AccuShot extensions, broadened distribution and operational excellence. Now to Personal Care, which is slide 16. Reported Q1 net sales fell 2.2%, but grew 7.1% excluding unfavorable FX of $16 million. While currency headwinds were strongest in Personal Care, we saw an improvement, driven by new retail customers and the timing of holiday shipments in North America and growth on a constant currency basis in Latin America and Europe, from a combination of promotions and new customers in hair care, hair removal and grooming. Continuous improvement savings more than offset product cost changes and the business benefited from solid volume and improved price and mix. Key new product launches in Q1 include PROtect dryers and straighteners and Remington Quick Cut in Australia and Europe, as well as hair care products in North America. Remington will continue to roll out new products in fiscal 2016, as it leverages its global product development platform. Overall, Remington is off to a good start and plans another year of solid performance in fiscal 2016. Now, let's turn to small appliances on slide 17. Reported Q1 net sales decreased 15.2% and 9.2% excluding unfavorable FX of $13.3 million, as currency headwinds were also strong in this business. The reported net sales decline was predominantly attributable to aggressive competitor promotions and overall category declines in the U.S., partially offset by constant currency growth in Europe and Latin America from new listings. Strong continuous improvement savings more than offset product cost changes, but were insufficient to overcome the North American sales volume declines. Small appliances continues to expect further sales and EBITDA growth in the out-quarters despite its challenging start in Q1. Finally, the Global Batteries, which is slide 18. Global Batteries reported a very strong Q1. Reported net sales grew 5.2%, 14.9%, excluding $23.5 million of negative FX. Q1 adjusted EBITDA also grew nicely. Growth in the U.S. was driven by new alkaline business at a number of retailers and the timing of holiday shipments. Rayovac enjoyed strong promotional support in Q1 in unmeasured channels. In Europe, VARTA battery sales growth was primarily attributable to alkaline holiday promotions. Latin America revenues grew double-digits on a constant currency basis, as a result of solid growth across the region. And continuous improvement savings more than offset product cost changes and strong volume growth overcame FX impacts, predominantly in Europe, where the impact was the largest. It is encouraging to begin the year with strong broad-based battery performance since the December holiday quarter is always the largest quarter of the year seasonally for this business. We did indicate in our last call that we expected an improved performance from this business in fiscal 2016, and we're off to a strong and encouraging start. However, given the timing of holiday shipments year-over-year and the absence of a customer bankruptcy this year versus last year, we do not expect this level of growth on the full quarter – our full year, sorry. Moving to the balance sheet, on slide 19, we ended Q1 on a strong liquidity position with over $245 million available on our $500 million cash flow revolver, the cash balance of about $162 million and debt outstanding of $4.128 billion. We expect to reduce total leverage by approximately 0.5 turn to end fiscal 2016 at four turns or below. Free cash flow for the quarter was a use of $241 million, consistent with the seasonality of our working capital cycle. Capital expenditures were $17 million compared to $14 million in the prior year. And finally, during the quarter, we repurchased 428,700 shares of common stock for $40.2 million or $93.85 per share. Turning to slide 20, and a review of our 2016 guidance. We expect reported net sales to increase in the high-single-digit range including acquisitions, and partially offset by the anticipated negative impacts from FX of approximately 200 basis points to 220 basis points, based on current spot rates, primarily in the first half of the year. About 40% of our annual sales were outside of the U.S. across a broad basket of currencies. We expect to deliver free cash flow between $505 million and $515 million, including the following assumptions. Full year interest expense is expected to be between $235 million and $245 million, including approximately $15 million of non-cash items resulting in cash interest payments of between $220 million and $230 million. Depreciation and amortization is expected to be between $240 million and $250 million for 2016, including approximately $60 million for amortization of stock-based compensation. Our 2016 effective tax rate is expected to be between 10% and 15%, and recall for adjusted earnings we use 35% tax rate. Cash taxes are expected to be between $50 million and $60 million. And as a result of a favorable tax ruling, we now have approximately $800 million of usable NOLs compared to $700 million when we entered the year. We do not anticipate being a regular U.S. federal cash taxpayer for the next three years to four years. Cash payments for acquisition and integration and restructuring related charges are expected to be between $30 million and $40 million. And capital expenditures are expected to be between $110 million and $120 million. Incremental investments include the impact of full year expenditures supporting recent acquisitions, a major aerosol capacity expansion and to support technology and innovation. So we think we've got off to a pretty good start for the year, strong first quarter. And with that, we'll turn it back to Dave and Q&A.
David A. Prichard - Vice President, Investor Relations & Corporate Communications, Spectrum Brands Holdings, Inc.: Thanks very much, Andreas and Doug. Operator, with that, you may now begin the Q&A session, please.
Operator: The first question comes from Bill Schmitz with Deutsche Bank. Your line is open.
William G. Schmitz - Deutsche Bank Securities, Inc.: Good morning.
Andreas Rouvé - Chief Executive Officer: Good morning.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Good morning, Bill.
William G. Schmitz - Deutsche Bank Securities, Inc.: Hey, can you talk about the difference between the sell-in and sell-through in the quarter? I know it was a fairly undemanding comp relative to the other comps in the year, but 6% seems super high. So is there any sort of disconnect between actual consumption and sell-in?
Andreas Rouvé - Chief Executive Officer: I think, Bill, you have to take two points into account. Yes, we did have a kind of a difference especially in the auto care, because we went live at the beginning of January, and you never know in the case of an SAP go live if you may face some hiccups. So there, we did encourage some customers to pull forward orders. But as a matter of fact, that was roughly an impact of one week of sales. So the overall impact is not major. Now, for the other business, the fact that we have such a strong quarter was more linked to the fact that we have stopped the practice of past years of loading distributors at the end of the quarter to make a stronger quarter. So therefore, this is more now a kind of recurring normal business. And then also Doug had mentioned, we are also being influenced that more retailers are reducing their inventory, and therefore, do take sales later. Like for instance, we had in batteries, the impact that major Black Friday promotion was shipped in October and not in September as in the previous years. So therefore, these are the drivers explaining the pretty healthy growth, but also without those drivers, the baseline organic growth is very strong.
William G. Schmitz - Deutsche Bank Securities, Inc.: Okay, gotcha. So should we just assume like 3% to 4% organic growth for the balance of the year? It's kind of what I backed into based on your guidance.
Andreas Rouvé - Chief Executive Officer: I think we don't give the specific guidance, but that's not far off.
William G. Schmitz - Deutsche Bank Securities, Inc.: Okay, great. And then could you just talk about some of the revenue synergies you see from Armor All and IAMS Eukanuba, because we really haven't heard a strategy for that, the pet food business specifically, because I know there's like very low capacity utilization. I think you're talking about doing some private label, maybe perhaps launching a new brand. So can you just talk about kind of where you think you can take those two businesses, where the big voids are, and kind of what the outlook is?
Andreas Rouvé - Chief Executive Officer: I think the point – in all fairness, you always have to take into account that we need a certain lead time before those cross-listings become effective. Even the fastest retailer, typically, before you get new listings, takes you six months to 12 months. So we do see already in Europe a very nice impact of those cross-sellings between IAMS on the one side and our legacy pet business on the other side where, for instance, we are gaining nice traction in the UK where IAMS had a very strong position and where we are pushing now our legacy business and vice versa in Continental Europe where we are pushing now the IAMS business in those channels where we had already been strong with the legacy. So that is definitely explaining the strong start which we did have on the pet business. Now if we talk about Auto Care, there again, please bear in mind that it is a relative recent acquisition. So we do have already first gains, be that in Latin America, be that in Europe, but also, here in North America, we are, I think as a matter of fact meeting this week with a major retailer to discuss those opportunities. So we really see that opportunity coming in strong, but on the Auto Care side, in all fairness, we did not have any impact yet in the first quarter.
William G. Schmitz - Deutsche Bank Securities, Inc.: Okay, great. That's very helpful. And then, Doug, just one quick one on the currency guidance, it hadn't changed since last quarter, and a lots of the currencies kind of moved negatively. So why is that?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: They have – I think they've moved within our range we feel (26:21) so we're still fairly confident of the overall range.
William G. Schmitz - Deutsche Bank Securities, Inc.: Okay. And how does that sort of translate on to earnings, I mean do you have like easy ratio for us to consider, I mean the business has changed a lot with all the acquisitions, I know what it used to be, but is there a simple multiplier or whatever to give?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Yeah, I can give you a number, anyway, that I think you can use; last year, we had FX impact on earnings of about $74 million and this year will be in a similar range, very similar range.
William G. Schmitz - Deutsche Bank Securities, Inc.: Okay. That's very helpful. Thanks guys.
Andreas Rouvé - Chief Executive Officer: Thank you.
Operator: Your next question comes from Kevin Grundy with Jefferies. Your line is open.
Kevin Grundy - Jefferies LLC: So my question is, how EBITDA came in relative to your internal expectations this quarter, I know you guys don't guide. If there were questions this quarter, Bill just touched on one of them, it was sort of what is the timing benefit, the second one that comes up is, I guess, a margin shortfall, despite the strong top-line. So I was wondering if you could comment on that. Maybe it was just a matter of the Street mis-modeling it or maybe some pressure there that sort of unanticipated from your side as well.
Andreas Rouvé - Chief Executive Officer: Kevin, this is why we have added the chart with the seasonal EBITDA phasing, because I think there could potentially – still have been a little bit impression of our previous old seasonality under the GBA structure. But as of now, I think the first quarter is the quarter with the lowest EBITDA. So coming back to your first question, actually, the quarter is ahead of our expectations, so we feel very strong. And also, as I had mentioned, but also Doug, we are stepping up our investments into new product launches, new marketing campaigns, new customer acquisitions. And that's why also, potentially, let me say, the expenses were partly higher than some of you may have expected.
Kevin Grundy - Jefferies LLC: Okay. Right. That's helpful. A couple more from me. First the NOL, that was noteworthy if that moved up, however, be it modestly. Is there any chance, Doug, if that can move up even higher? I remember, there's a pretty healthy portion that was unusable from a Spectrum Brands' perspective. Is there any chance if that continues to move higher?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: The portion you're talking about in the second part of your comments is $300 million and that's not changed. What changed was an election relative to one of our foreign subsidiaries and how it's treated in the U.S. Group. So that was the recoupment that we got of just under $100 million. And so, no, I don't expect them to go up any more, and I actually don't want them to, because that would mean we were performing pretty poorly. So we expect to use those as our performance improves.
Kevin Grundy - Jefferies LLC: Okay. That's helpful. And then, on the batteries side, should we start to see the Nielsen data? I know this comes up all the time, almost every call, there's a big disconnect between what investors see in the Nielsen data and then what you guys are reporting which is much better. So we know the growth has been better outside of scanned channels in the U.S and better outside the U.S. But should – my understanding was you had some distribution losses at a large retail customer, should the Nielsen data start to get better, that's sort of question number one. And number two, maybe you could talk about some of the recent gains that you got in the U.S. which were noteworthy and drove a strong quarter in the segment?
Andreas Rouvé - Chief Executive Officer: Yeah. I think your first question is, Nielsen and the market share data is for many companies one of the bonus targets. And so, therefore, some of our competitors, not only in the battery field also in other categories, may motivate the employees to push aggressively in those channels. And as I mentioned before, we are focusing on EBITDA growth, and if promotions are not attractive and not benefiting the EBITDA, we will not do it. And therefore, I think, our point is we want to grow EBITDA, and yes, we should start to see, in North America, our market share in Nielsen stabilizing. However, we all know, it's a continuous battle. So therefore, I don't want to predict that too much. The other part of your question is, please let me remind you, we are pursuing a very systematic, more, more, more strategy where we are trying to push cross-listings. Earlier, Bill was asking for those cross-listings with Auto Care. We do see the biggest opportunities between Auto Care and batteries. As a matter of fact, we do also expand into more channels. So we have strengthened our sales organization in all regions, but especially in batteries, North America, to go after more channels and last not least, we are also expanding globally with batteries, because again, from the legacy standpoint, we have been more strong in North America, Latin America, and Europe, and a big part of the world had been a little bit neglected from our side, and here, we are taking advantage both of the infrastructure HHI has brought to the company or which pet has in the region. So that's why we are pushing also an international element to the battery growth.
Kevin Grundy - Jefferies LLC: Okay. One last one. Doug, for you the commodity benefit that the company should see, oil is obviously down significantly, zinc is down, resins are down, et cetera. Can you talk about the deflation that you expect to see in your basket of commodities this year?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Yeah. We are seeing that, and we're seeing that read through and it's part of the reason we're able to offset the heavy FX headwinds. I would also though remind you on zinc and some of the other major commodities, we do have a pretty robust disciplined hedging program. So we have been rolling on and rolling off hedges. So some of the benefits that we get, as commodities go down, are going to trail a little bit, just like some of the hits that we're taking from FX this year we didn't realize last year because of the FX hedging program.
Kevin Grundy - Jefferies LLC: Okay. Very good. Thank you, guys.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Thank you, Kevin.
Operator: Your next question comes from Joe Altobello with Raymond James. Your line is open.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Hey guys. Good morning.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Good morning.
Andreas Rouvé - Chief Executive Officer: Good morning, Joe.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: I guess just first question on small appliances. Doug, I think in your prepared remarks, you mentioned that you do expect to see a turnaround in that business in the coming quarters. Could you explain why that is since a lot of the pressures you're seeing are from a soft category as well as competitive promotions?
Andreas Rouvé - Chief Executive Officer: Yeah. Let me jump in. I think if you look back, our last year, we were extremely successful with appliances. We grew in all regions very strong and we may have become there a little bit too complacent, assuming that that would continue, and in all fairness, we were taken a little bit by surprise by some of those aggressive promotions which we saw in the market. So therefore, we are adjusting, and again, I think – it's not a secret if I say, our strategy is that we will continue to launch innovative products, which will help us to gain new listings, gain more prominent positions in store, and also that we will continue to work on those cross-listings, expanding into more channels. So that's why we are quite confident that we can turn that trend around, already starting in the second quarter.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. So you are seeing that momentum starting already?
Andreas Rouvé - Chief Executive Officer: Yes.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. And in terms of the spending on the growth initiatives, Doug, if you go back to your days at Newell, this is sort of what you guys did there, but you did have a restructuring program to help fund that. So where does that money come from, to help fund the increase in spending behind those growth initiatives?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Yeah, we're starting from a leaner position from an SG&A perspective already. And as you know, we had a modest restructuring program last year, Joe, that carries over into this year and we're using some of that to fund it. And then, we have a really tight focus on self-funded spending activities behind those brands or those products that would benefit from that type of an investment.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay, great. Just one more for me. Global Auto Care, when you guys acquired that, I think you were looking for sales and EBITDA in calendar 2015 of $440 million and $140 million respectively. Is that something that we should think about for fiscal 2016 as well?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Well, I think that's a good base starting point, that's what we bought and we got what we thought we got. And I think you can expect us to take that base and grow.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Great. Thank you.
Operator: Your next question comes from Zack Fadem with Wells Fargo. Your line is open.
Zachary Fadem - Wells Fargo Securities LLC: Hi, good morning.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Hi, good morning.
Andreas Rouvé - Chief Executive Officer: Hi, good morning.
Zachary Fadem - Wells Fargo Securities LLC: Hi, a big picture question. I'm curious how you're thinking about the business kind of over the next 12 months to 18 months, in terms of balancing top-line growth versus profitability. You've exited some less profitable businesses in pet and HHI, but you're also stepping up growth spending. So I'm just curious how you plan to prioritize the balance over time.
Andreas Rouvé - Chief Executive Officer: As I mentioned before, Spectrum Brands is about growing EBITDA and free cash flow. The entire management team down really to mid-level management is incentivized on those two metrics. So therefore, if we have businesses where we are tying up resources, where we are not generating the EBITDA margins which we believe are required long-term, we will think about it, changes in the business model, those can be exits or in other cases, we may license the brand to a partner. So there are many opportunities which we are pursuing. However, at the same time, we are convinced that there's a lot of growth opportunity with this more, more, more strategy where we can leverage the strength, be that either existing retailer relations and infrastructure in countries or expanding into more countries. Those, let me say, more, more, more initiatives, obviously, do require some upfront investment, be that in salespeople, in adjusting your product line, in adding some marketing resources, but the beauty about that, those are typically self-funding. So therefore, those investments, typically, pay back the same year, because you generate the incremental revenue to fund those initiatives.
Zachary Fadem - Wells Fargo Securities LLC: Okay. And just another question on batteries again. Could you comment on the breakout of the 15% organic number, in terms of pricing versus volume, and also, on the promotional environment ahead, I presume it's subsiding with today's result, but maybe you could kind of give us a little more color on what you're seeing there. Thanks.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Yeah, sure, Zack. Most of that growth was volume-driven growth, and in Europe, we continue to see good new distribution gains across the region, and in Latin America, good strong growth as well. And in North America, we're growing in some of the unmeasured channels as we said. So good growth in do-it-yourself channels and some of the other channels, so mostly, volume growth. From a promotional activity perspective, we've annualized the most severe of those activities and we're hoping for a continued more stable environment.
Andreas Rouvé - Chief Executive Officer: And let me venture to also add one point. We should not forget that also the battery category is a basket of different, let me say, products. So you have the major alkaline product, but then we have also our hearing aid products, which we produce in-house, and then, we also have sourced products, be that rechargeable or flashlights. And we are seeing, also in the battery category, a favorable mix effect, because we are growing faster with our in-house produced hearing aid batteries, with our alkaline batteries, and this is partly offset with a decline in some of the sourced products which, again, is helping overall margins in that business.
Zachary Fadem - Wells Fargo Securities LLC: Okay. And I have one more just quick capital allocation question. I think you've got some senior notes callable in the next month or two, but is this something that you might look to do later in the year, could you comment on that?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: We did a lot of work last year on the capital structure and extended the overall maturity profile of not only the term loan facilities, but our bonds as well. So right now, I'm pretty satisfied with where we're at.
Zachary Fadem - Wells Fargo Securities LLC: Sounds good. Thanks, guys.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Thank you.
Andreas Rouvé - Chief Executive Officer: Thank you.
Operator: Your next question comes from Jason Gere with KeyBanc Capital Markets. Your line is open.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. Thanks. Just I have two questions that are follow-ons from some of my peers' questions, and then, a separate question. So I guess, the first one, you're talking about some of the distribution gains that you've seen this year. Andreas, can you talk about – I know that's been a big focus for you here in the U.S. I was just wondering when you look beyond this year, how much more opportunity do you see ahead across, I guess, the whole portfolio and maybe even geographically to get incremental shelf space, because it feels like part of the Spectrum story is not having as much shelf space as maybe some of your peers. So I was just wondering, this year, obviously, it sounds pretty good. Just wondering how far along we are in this process.
Andreas Rouvé - Chief Executive Officer: I think this is really a point, which is a nice, yeah, opening to explain the big benefit of Spectrum Brands is that we have a portfolio of different categories, which are, to a big extent, using the same sales channels. So we can leverage our retailer relations to push our products into those channels where we are right now not present. So just to give you one number, in the U.S., we have been serving in the last year only about 50% of the channels which are selling batteries. So in half of the North American battery market, we were not present. And let me take it a little bit further. In Canada, we did not even have a sales person, yeah, and you can continue across the entire globe. We are global market leader with hearing aids, but guess what, we were not present in Asia with our own salespeople. So therefore, we are investing into those resources. And we are already seeing a nice momentum, and in all fairness, we are probably also benefiting slightly that some of our competitors have to pull out of certain markets, which we believe is going to give us more opportunities longer term, because we will maintain and we will invest into our local infrastructure to be present to serve those retailers locally.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. No, that answers that. Thank you. And then, I guess the other follow-on type of question is really on the EBITDA margins for the year. So this quarter, you had some good sales, and obviously, there's some modest margin expansion. But if you put all the puts and takes, commodity benefit, FX kind of weighing in the first half investments that you're making, if sales are kind of staying in this three to four organic sales range for the rest of the year, I would assume you'd get some leverage. And I'm just wondering should we not be anticipating better margins as the year progress? That's I just wasn't clear on one of the preceding questions, how should we think about the EBITDA margin for the rest of this year?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Well, I think from an EBITDA margin perspective, Jason, on the whole year, I won't speak to each quarter, on the whole year, you should expect EBITDA margin expansion from us in our legacy business, and as a result of the contribution from the acquisitions, both of those. I would just reiterate that we have some seasonality across our businesses, so that will bear. The Home and Garden and Global Auto Care businesses are heavier, stronger top-line businesses in summer months. So obviously, that gives us fixed cost benefit and higher EBITDA margins during those periods.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. Thanks. So that segues into my real question, I guess, for you, Doug. If we think about it, and hopefully, every quarter, we don't hear about how EBITDA comes in versus internal expectations and things like that. Why not put an annual EPS number and maybe even a cash EPS number out there? I mean acquisitions are a big part of your story. Some of your competitors do it. And I'm not talking quarterly, but I'm talking on an annual basis, what's the hesitancy to maybe put out a cash EPS number on a full year basis that would, I think, maybe take away some of the volatility that you might see in the stock? Thanks.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: It may, as Andreas mentioned, our team internally is focused on driving EBITDA and cash, and those are the metrics that we want to keep front and center for them and we want our investor base to also understand that those are our critical metrics as well. So those are the two we focus on.
Jason M. Gere - KeyBanc Capital Markets, Inc.: All right. That's it from me. I tried.
Operator: Your next question comes from Bob Labick with CJS Securities. Your line is open.
Robert Labick - CJS Securities, Inc.: Good morning.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Good morning, Bob.
Andreas Rouvé - Chief Executive Officer: Hi, Bob. Good morning.
Robert Labick - CJS Securities, Inc.: Hi. I just wanted to follow up with the selective growth investment initiatives as well. Could you give some examples of where you're spending? I know you've said a few, but kind of summarize all that for us and quantify the impact on the P&L. It sounds like you're going to have some restructuring and some lean to fund it. But is there an expected impact on the P&L either way this year and then expect it in the future?
Andreas Rouvé - Chief Executive Officer: I think the investment, basically, it is in NPD, that means in developing new products, but then also the marketing campaigns to support launch. And we did mention that as part of also our acquisitions and expanding a new category, some of our spending also of our marketing mix will change. So that, for instance, TV advertising, in some cases, will be required to grow those products. So that's a little bit where we are increasing our investment, basically, stepping up new product development, and also they're supporting marketing campaigns to launch those into the market. Now, I think the point is, we had probably in the last 12 months, a little bit a kind of change in the strategy that we are stepping up those initiatives, but as I mentioned before, those are typically self-funding, because you increase accordingly your top-line and I think this first quarter was already a nice sign. We did go through a rough period last year, but now, we are already seeing the benefit and that will continue. Just to give you a nice example, we had, in the first quarter, a very successful launch of a new (45:43) which was supported with TV advertising down in Australia. And we continue, for instance, to invest into the IAMS brand in Europe, where we had been on TV. So therefore, we are stepping up those activities and we are seeing, accordingly, the nice payback.
Robert Labick - CJS Securities, Inc.: Okay, great. Thank you for those examples. And then there's been a change in the competitive landscape in consumer branded products a little bit, with two of your large competitors joining up together. Can you talk about what if any impact you expect on Spectrum, positive or negative, or any opportunities coming out of this?
Andreas Rouvé - Chief Executive Officer: I think – I take every competitor very serious, and I think partly they have mentioned in their announcement that they are trying to pursue cross-listings, which is, let me say, also one of our, let me say, strategies. So therefore, I think we should take it very serious. Of course, sometimes doing such big transactions can also lead to certain distraction, could lead to certain turmoil. So therefore, again, we will watch it very closely. And if there are openings, we will try to take advantage of it.
Robert Labick - CJS Securities, Inc.: Great. Thanks very much.
Andreas Rouvé - Chief Executive Officer: Thank you.
Operator: Your next question comes from Jim Chartier with Monness Crespi Hardt. Your line is open.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Good morning.
Andreas Rouvé - Chief Executive Officer: Jim? Okay.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: ...Global Pet business improvement, you mentioned some operational changes started in the second half of last year. Yeah, but just give us little more color on what's driving the meaningful sales improvement in the first quarter?
Andreas Rouvé - Chief Executive Officer: I think there are several items. And among one item which we had not mentioned on today's call, but on the last call, is that also we have modified our inventory strategy that sometimes, towards the end of the year, some initiatives had been taken which may have supported cash flow and the low inventory number, but which was, from an operational standpoint, not a very healthy decision, because it led to out of stock situation in the first quarter. And that definitely are, let me say, the first changes which we are seeing. The second is also that we have gone through the entire supply chain and made sure that we remove bottlenecks, improve and partly invest into more modern technology so that we could increase the speed to react to an increase in market demand, and as a consequence, our in-stock situation has improved significantly. And also in all fairness, last year, we stopped doing unhealthy business. So that's why also a) we exited business which was either low margin or no margin and second also, we stopped loading distributors which, again, then leads to a more normal reorder pattern from their side which, again, we are seeing now start in the first quarter of this fiscal year.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Great. And then, what are you doing in terms of product innovation of legacy pet business, and then, when should we see those changes impact the top-line?
Andreas Rouvé - Chief Executive Officer: I think you probably do see it already. And we continue in all areas, be that in the aquatics area where, for instance, we did make certain organizational changes, we did have, in the past, kind of blended responsibility for aquatics and companion products, and therefore, we believe, internally, that the aquatics category was partly neglected. And we have now a dedicated team focusing on aquatics, therefore, driving a very nice and healthy pipeline of new products, for instance, in aquatics which is coming to the market and which is seeing a very healthy growth. And again, we mentioned, for instance, that one of the biggest retailer in the world, we work together with them, we could modify the shelf layout, and accordingly, we have seen a very nice uptick in the aquatics' POS which is positive now since over one quarter already since that new POS went into place. So therefore, very nice momentum, and again, on companion, I think there we are seeing the benefits also of taking advantage of the Salix acquisitions of the IAMS Eukanuba, where we are, let me say, inspiring and also following the trends developing new products, utilizing the different brands which we have, also for a multi-channel strategy so that we can attack different price points with our products.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Great, thank you.
Operator: Your next question comes from Kevin Ziets with Citi. Your line is open.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking my questions.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Hi, Kevin.
Andreas Rouvé - Chief Executive Officer: Good morning.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): How are you? The first question I had was on acquisitions. Just with getting SAP rolled out and armored, I'm just curious if you would be turning your attention to acquisitions a little bit sooner than you might otherwise, or if you're still wanting to kind of go after the internal investments and all of the integration opportunities?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Yeah, I think we have – this is Doug, Kevin. We have a focus this year on deleveraging and integrating the acquisitions. And we have Global Auto Care and we do have that on SAP and we're very encouraged to be able to have that jump the line ahead of some of our other IT initiatives and get that in place very, very quickly, and especially, ahead of their busy season. So that's been good. But there are other business integration activities that continue to go on inside of Global Auto Care, and in Salix and in IAMS Eukanuba and to a lesser degree, Tell. So we continue to have that internal focus on making sure that we really land those acquisitions well and delever as the year goes on. So there really hasn't been a change in view, internally, on timing of acquisitions. If a nice bolt-on opportunity came up, of course, we would consider it.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): Sure. Okay. So something big maybe waits till next year, but still tuck-ins possibly?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: That's correct.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): Okay, great. And then, my other question was on just small appliances, and the nature of sort of who the new aggressive competition is – or whether it's new competition at all or existing players?
Andreas Rouvé - Chief Executive Officer: No. These are existing players, and I think the only point is partly some of those promotions went to price points where it is simply impossible to make money, and in all fairness, sometimes, to reach those price points, also the manufacturers may take some shortcuts in the product quality, which then could lead to product recalls, and therefore, this is an area where we definitely want to be more conservative and think long-term about healthy EBITDA growth and not the short-term top-line push.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): That makes sense. And then, just lastly, on the lawn and garden season, as it's coming up, did you – I think you mentioned expanded distribution, is that within existing customers or have you picked up some new business there? And also curious how the warm weather might have impacted customer pull-through and whether you're cognizant of that.
Andreas Rouvé - Chief Executive Officer: I think the warm weather definitely has helped, but I think that was also one-to-one reflected in POS. So it is not that the retailers have started building inventory earlier than usual; it is really that we benefited from the strong weather, therefore the POS went up, and therefore, accordingly, our sales went up. We do see a very healthy year ahead and coming back to your first question, we are also, with the Home and Garden business, expanding into more channels. And again, in general, we had been, as a company, very much focused on, let me say, the mass channels. And therefore, we are expanding new – into more channels also in North America. Besides that we're also working, of course, evaluating if we can take some of our expertise, for instance, in the insect repellant and also work together in the Latin American markets where right now, insect repellants are becoming a very major issue.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): Sure.
Andreas Rouvé - Chief Executive Officer: And we do see there also, let me say, mid-term opportunities.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): Oh, that's great. Okay. Thank you for taking all my questions.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Your next question comes from Karru Martinson with Deutsche Bank. Your line is open.
Karru Martinson - Deutsche Bank Securities, Inc.: Good morning.
Andreas Rouvé - Chief Executive Officer: Hi, Karru.
Karru Martinson - Deutsche Bank Securities, Inc.: Hello. When you guys look at the battery competition with your two major competitors now kind of as standalones, I mean do you feel that the industry as a whole has gotten more rational? And kind of what are the implications as we go forward in battery for the U.S.?
Andreas Rouvé - Chief Executive Officer: No. I think the – that's a tough question, because on the one side, there's wishful thinking on my side that it may be that, but then, at the same time, I think we have to be rational and realize that the battery market overall is not, let me say, a growing market. While there may be some growth in certain segments, there is also decline in other categories. So also overall, there's a global overcapacity, so that's why there's, I would say, the strong, let me say, threat that the market will remain very competitive and that's what we are anticipating. Obviously, I mentioned before, in the case of home appliances and the same is true for batteries, we are not going to do unhealthy promotions, so we prefer to walk away from, let me say, such opportunities. So we are about EBITDA growth, but unfortunately, quite often, let me say, others may be tempted to go for the top-line.
Karru Martinson - Deutsche Bank Securities, Inc.: Okay. It's nice to see aquatics finally returning to growth. I mean are there any specific new products that you call out that are changing that? When we think about the category – kind of always had viewed it as a GDP-esque type growth category. I mean has that changed or what's – is there any kind of underlying fundamentals that are changing there?
Andreas Rouvé - Chief Executive Officer: I think the point is – and again, aquatics is a typical example where you have to motivate consumers to pick up the hobby. So therefore, it is a typical example where you have to educate them, you have to reach certain consumer groups, and you have to make it easy for them. So all of our investments in aquatics is making the hobby more desirable, and make it easy. So therefore, simplification, so that being all the food and the water care and the tanks more attractive, even sometimes making it easier to ship so that we also take advantage of the growth of online channels. So therefore, we have lot of innovations that are coming to the market or partly already in the market, which is also, yeah, showing those desired results.
Karru Martinson - Deutsche Bank Securities, Inc.: Okay. Just lastly, and when we look at the dividend increase, certainly supported by the cash flow that you guys have, but does that change how you look at your leverage from a long-term perspective or the acquisition opportunities that are out there?
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Not modestly. No. We are focused on deleveraging and our capital allocation priorities would still be, this year, obviously, deleveraging as the top one. And then, capital allocation choices that help drive the core business, whether they're acquisitions or vertical integration investments. And then, we would look at dividends and share repurchase. It's still a very modest yield, and a relatively small portion of our cash flow.
Karru Martinson - Deutsche Bank Securities, Inc.: Thank you very much, guys. I appreciate it.
Douglas L. Martin - Chief Financial Officer & Executive Vice President: Thank you.
David A. Prichard - Vice President, Investor Relations & Corporate Communications, Spectrum Brands Holdings, Inc.: Okay. Operator, I think we have time for one final question before we close down the call.
Operator: Sure. Your final question comes from Carla Casella with JPMorgan. Your line is open.
Carla M. Casella - JPMorgan Securities LLC: Hi, one question on the small appliances. Was it a specific channel where you saw more of the promotional and the weakness or was is it a specific category within small appliances that was particularly fierce this holiday?
Andreas Rouvé - Chief Executive Officer: I think if you look at also Nielsen market data, you will see the market was down, yeah, and quite significant. And I think that probably has led to the fact that, accordingly, all players tried to grow in a declining market, and therefore, they went more aggressively after promotions. And also, we're not only manufacturer promotions, so as we're partly also retailer promotions. So that's a little bit where I would say, this is, and then again, we have to be very clear that especially for home appliances, the first quarter is a very strong quarter, and therefore, that was a major, let me say, challenge in that quarter.
Carla M. Casella - JPMorgan Securities LLC: Okay. Great, thank you.
Andreas Rouvé - Chief Executive Officer: Thank you.
David A. Prichard - Vice President, Investor Relations & Corporate Communications, Spectrum Brands Holdings, Inc.: Okay. Thank you, Carla. And with that, we have reached the top of the hour, and we'll now conclude our conference call. I certainly want to thank Andreas and Doug. And on behalf of all of us here at Spectrum Brands, we thank you for participating in our fiscal 2016 first quarter earnings call. Have a good day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.